Operator: Good day, everyone, and welcome to the Entegris Fourth Quarter 2011 Earnings Release Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Steve Cantor, Vice President of Corporate Relations. Please go ahead, Sir.
Steve Cantor: Good morning, and thank you all for joining the call. Earlier today, we announced the financial results for our fourth quarter ended December 31, 2011. You can access the copy of our press release on our website, www.entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties which are outlined in detail in our reports and filings with the SEC. On this call, we will also refer to non-GAAP financial measures as defined by the SEC in Regulation G. You can find the reconciliation table in today's press release as well as on our website. On the call today are Gideon Argov, President and CEO; Bertrand Loy, Chief Operating Officer; and Greg Graves, Chief Financial Officer. Gideon will now begin the call.
Gideon Argov: Thank you, Steve. Good morning, and thank you for joining the call. I'm pleased to report that Entegris achieved another record year in terms of sales, earnings and cash flow. We grew our sales 9%, $749 million from the prior year; achieved cash EPS of $0.80 and generated $157 million in cash from operation. Above all, we continue to execute well operationally and to move forward on our growth strategies. We're proud of this performance particularly during the year in which the industry slowed dramatically in the second half and the world contended with considerable global economic challenges. In the fourth quarter, sales, as we anticipated, were $164 million, down 5% from the third quarter. Cash EPS was $0.16 and our adjusted operating margin was 14.08%, both in line with our target operating model. We also generated nearly $45 million in cash from operations during the quarter. In terms of fourth quarter trends and for much of the second half of 2011, the semiconductor industry was a tale of 2 cities. Technology-driven spending by the leading semiconductor device-makers continued unabated while on the legacy side of technology spectrum, production rates in the industry remains sluggish through the fourth quarter. This was reflected in our business results. We continue to gain traction and growth with our products designed to support the brand's processes. Our mix of sales, 64% unit-driven, and 36% capital spending-driven, was virtually unchanged from the third quarter. However, we had growth in several advanced filtration product lines for wet etch and clean and photochemical applications. This was offset by lower sales of some legacy unit driven products which has shippers used for 200 mm and below wafers. Similarly, we have strong sales of advanced Cape driven products, which is our family of new 300 mm FOSB, which is designed to provide the industry's most comprehensive protection against contamination within the wafer handling environment at 32 nanometers and below. In fact, 70% of the FOSB we sold in the fourth quarter were models that are less than 1 year old. In contrast, sales of FOSB handling components used to outfit fab infrastructure were soft during the quarter. Looking at our business by market. Fourth quarter trends were also not uniform. Our semiconductor-related sales representing 73% of total declined to 3% from the third quarter. In our markets outside SEMI, sales declined 10% reflecting the slowdown of the TFT/LCD and LED markets as well as lower data storage shipment due to the flooding in Thailand. Nonetheless, we were encouraged by progress in some emerging markets such as Solar, where our sales doubled in 2011 and hit record levels during the year, in which the solar industry was confronted by huge overcapacity and substantial price declines. As we move into 2012, we have several reasons to be encouraged. The exit of 2011 late pickup in demand that has sustained itself thus far into the first quarter. Our strategic initiatives are enabling us to become increasingly aligned with the technology roadmaps of the largest and most influential players in the industry. This is allowing us to penetrate opportunities at the 28 nanometer and below semiconductor process nodes as well as for EUV and for 450 mm. The opportunities are both near and long-term. We are not content with simply maintaining our edge in these markets. We intend to extend our technological and market leadership. We're making major investments to be the leader in 450 mm wafer handling as that technology is adopted over the next several years. We'd also intend to invest in our core membrane technology, our coatings technologies, to continue to create differentiated, high-value, unit-driven products for the most advanced and demanding semiconductor applications. Before I turn it over to Greg for some additional commentary on the financials and our outlook for the first quarter, I want to leave you with these 3 points. One, Entegris is one of the small number of companies in the world that have the breadth of contamination control technology and the experience needed to fully address the semiconductor industry's next-generation processes. Two, we have a strong balance sheet and a high operating cash flow business that will support that growth. And three, we have strategies that are proven and continue to provide growth opportunities both within the SEMI industry as well as in adjacent markets. Greg?
Gregory Graves: Thank you, Gideon. We are very pleased with our results in 2011 and the performance of our 3 divisions as our growth continues to outpace our peers. Sales for Contamination Control Solutions or CCS grew 11% to $484 million as our Liquid Filtration business reached record levels. Sales for Microenvironments division were $182 million which was even with the prior year and sales for Specialty Materials were up 19% to $83 million. We demonstrated strong performance on both the unit and capital sides of our business with unit-driven sales up 9% and CapEx driven sales up 8% for the full year. We continue to show leverage in our business model as our operating income for the year increased 14% on a 9% increase in revenue. This performance was the result of excellent execution, particularly during an industry slowdown in the back half of the year when we responded quickly and flexed our cost structure down. Shifting to our Q4 performance. Sales for the CCS division declined 5% sequentially to $105 million. CCS operating margins were 25%. Sales for the Microenvironments division declined 6% sequentially to $40 million. ME's operating margin was 15%. For the Specialty Materials division, sales declined 8% to $18.7 million. Despite the decline, Specialty Materials achieved a record operating margin of 23%. Consistent with the lower sales levels, fourth quarter gross margin was 41.2% reflecting lower absorption of fixed costs and reduced production levels. Inventory declined by $9 million in the quarter as we adjusted our manufacturing output consistent with the lower demand levels. The impact of lower manufacturing volumes was offset in part by lower variable compensation costs. Operating expenses for Q4 were $43.4 million, a decline of about $2 million from Q3. The lower level of spending is the result of tight control over discretionary costs and lower variable compensation expenses in both SG&A and R&D. Moving into 2012, we are committed to the R&D spending needed to sustain our initiatives and advanced wafer handling, CMP and lithography applications. Our GAAP tax rate for the quarter reflected a one-time tax benefit of approximately $21 million resulting from the reversal of valuation allowances on our deferred tax assets. This is a GAAP convention and we are essentially recognizing all future tax benefits related to certain carry forwards in the current quarter versus recognizing the benefits as they are utilized, which is what we have been doing over the past 2 years. Going forward, we are planning for a GAAP-effective tax rate of approximately 30% to 32% in 2012, although our cash taxes will continue relatively unchanged at approximately 20% to 22% in 2012.  Including this one-time benefit, our tax rate in Q4 would've been 9% with a full year rate of 19%. The lower Q4 tax rate as compared to the previous quarters in 2011 resulted from ending the fiscal year with a more favorable geographic mix of income than previously estimated. The Q4 EPS on a non-GAAP basis was $0.16 per share, which excludes amortization expense and the one-time tax benefit. The Q4 non-GAAP EPS also included a favorable impact of approximately $0.02 per share due to lower variable compensation and approximately $0.02 per share due to the lower effective tax rate in Q4. In terms of our balance sheet. Cash and short-term investments reached $274 million, an increase of $45 million over Q3. Cash flow from operations for the quarter was $45 million as we continue to aggressively manage our working capital. Cash flow for both the quarter and the year was favorably impacted by the reduction in accounts receivable and inventory. While we have a share repurchase trading plan in place, we did not repurchase any stock in the quarter. Depreciation expense was $6.5 million in Q4 and CapEx was $6.1 million, $3.4 million below Q3 spending. For the full year, CapEx was approximately $30 million. During 2012, we intend to make a number of significant investments in our leading edge technologies that will strengthen our business moving forward. These initiatives include equipment and tooling to manufacture 450 mm wafer handling products and the establishment of an advanced membrane manufacturing and development center for critical filtration applications. These investments that are largely one-time in nature are critical to our ability to extend our technology leadership. As a result of these specific investments in 2012, we anticipate CapEx of approximately $70 million or a little more than double the amount we spent in 2011. As Gideon mentioned, we did experience a pickup in demand in December for some of our more advanced semiconductor products. This strength in bookings has continued into Q1. As such, we currently expect Q1 sales to be flat to up 5% and non-GAAP EPS to be $0.11 to $0.13. This EPS guidance is consistent with our Q4 results, excluding the favorable impacts of lower variable compensation and a lower tax rate in the fourth quarter. In summary, we are extremely pleased with our results for 2011, the year in which we had record revenue, earnings and cash flow. Sales in Q4 reflected strength in products for advanced semiconductor technologies. We delivered strong financial results and cash flow consistent with our current target model as we flex our cost structure and we are stepping up our strategic investments to extend our leadership in advanced technologies. With that, we'll now take your questions. Operator?
Operator: [Operator Instructions] And we will take our first question from Terence Whalen of Citigroup.
Terence R. Whalen: This question is on expectations around inventory heading into the first half. I'm trying to understand, with your guidance close to the $170 million level, what type of a gross margin might we expect? Are you going to be building into that to help the gross margin?
Gregory Graves: Our assumption moving into the Q1 is that our inventories will be relatively stable so we won't see that same impact that we saw in Q4 where we did have some negative impact on gross margin from the reduction in inventory. In Q4, as I mentioned, we reduced our inventories by about $9 million. That had an impact of about half to -- that alone had an impact of about 1/2% to 3/4% on our gross margin.
Terence R. Whalen: Okay. Terrific. And then as a follow-up, I think looking at your presentation and your rough guideline for revenue and gross margin near the $170 million level, I think you think a gross margin between 44% and 46% is reasonable. When I think about the March gross margin, I expect it will come in a little bit shy of that. Can you help us understand sort of what factors to look for going forward to understand how we can get back to the 44%, 45% level near $170 million revenue level?
Gideon Argov: Yes. Terence, the target model is about 3 years old and we've stuck with it over the past 3 years. I would say that it's not likely that we'll get back to that type of margin at $170 million. The operating margins that you see there -- I mean, we will at $170 million be at the lower end of the operating margin that we show in that published target model.
Terence R. Whalen: Okay. Fair enough. And if I could just ask my follow-up question was actually regarding the CapEx. The $70 million CapEx investment, can you describe sort of specifically what areas that's going into and what signs do you see today that give you the confidence as you increase that investment?
Gregory Graves: Okay. First of all, I would say the $70 million is -- that's a pretty abnormal number for us. I mean, if you look back over history, this is a business in the really low points in the cycle, we were spending in the 'teens per year. A typical year in our history has been somewhere around the $30 million that we're spending this year. So we are making a couple of unique investments, primarily in the advanced membrane facility that I mentioned and the 450 mm technologies. Those 2 items alone make up about a little more than 2/3 of that total investment.
Gideon Argov: Terence, this is Gideon. Let me give you some additional comment on that investment. As you know, we're in the midst of significant technology evolution and I'm referring to both 450 mm as well as EUV which are requiring very significant investment by fabs. These are 2 disruptive technologies and they also require innovative contamination control solutions. To take advantage of these opportunities, we do have to make some investments in order to be able to penetrate these new markets. The largest of those that Greg alluded to relates to the creation of a nanotech  manufacturing and development center for membranes and coatings in North America and in New England,  which really is the heart and soul of our filtration business and is our core technology that enables us to develop in differentiated solutions and in this case, will enable us to do that for the 2x and beyond process nodes.
Operator: And will take our question from Patrick Ho of Stifel, Nicolaus.
Patrick J. Ho: Greg, just a quick housekeeping question in terms of the tax rate for 2012. Does that not account for any renewal of the U.S. tax, the R&D tax credit at this point of the game?
Gregory Graves: The U.S. R&D tax credit, I mean, we generated more credits in 2011 than we have in past years. We think we'll generate a fair amount of credits in 2012. But in terms of the overall tax rate, the real driver of the delta, if you will between cash taxes and booked taxes, is the foreign tax credit. And we continue to have a fair amount of foreign tax credit carry forwards left over that were generated in kind of the darker days in 2008, 2009.
Patrick J. Ho: Great. Maybe this is a question for Gideon, in terms of the overall business trends and what you're seeing out in the marketplace. How would you characterize the units-driven business for you guys relative to what your customers are telling you right now? Because you, obviously, with earnings season already started, the equipment companies have seen the pickup in equipment spending. How does it look like on the chip side of things in terms of both, I guess, demand and utilization rates?
Gideon Argov: Well, number one, as you know we have limited visibility because we're a turns business. So with that caveat, I've indicated that it's a tale of 2 cities and it really is. The fault line for us is trailing edge versus leading edge and we're seeing a marked difference between the, I'd say, the strength and demand for sort 45 nanometer, 65 nanometer types of applications versus the leading edge, which has really generating quite a bit of an investment by major device companies. So we've seen our products that support the leading edge, in particularly, the unit-driven products, filtration and purification, but particularly filtration. Liquid filtration has really been on a tear and we know that is because they're being used in leading edge applications, what they're designed for. We're delighted with that. That's the short answer to your question.
Patrick J. Ho: Okay, great. Maybe final question for me, in terms of the share gains and the opportunities you have there, liquid filtration has been a bright spot for you guys over the past couple of years. As you look forward in both '12 and beyond, are there any other product groups or any other segments where you see the opportunities in those areas like you see in your liquid filtration?
Bertrand Loy: Yes. This is Bertrand. I will just say the things that as we see some of those major industry technology evolutions coming our way, especially in the area of EUV lithography, we do believe that these conditions remain very significant opportunities there for us, both in terms of filtration but also in terms of purification. The contamination tolerances for those process steps are becoming a lot more stringent. And we are actually working very closely with a number of participants in the ecosystem and on the EUV tools specifically. I would say that we have about 4 to 5 active joint development agreements with all of the technology, Entegris' sectors. Unfortunately, we are bound to a fair amount of confidentiality when it relates to those in joint development agreements so I won't be able to probably satisfy your curiosity. But one of the reasons why we are investing into the [indiscernible] sector is because we want to be in a position to manage those customer requirements very effectively and we believe that creating this clusters technology in New England for specialty coating and membranes surface modification and in Colorado for 450 mm is the best way for us to address those requirements and those opportunities.
Operator: And we'll take our next question from Krish Sankar from Bank of America Merrill Lynch.
Krish Sankar: In terms of your March quarter guidance, how do we think about the different segments trending? Are they all going to be at least flattish or is one better than the other in terms of ME, CCS and Specialty?
Gideon Argov: Yes. Chris, we look at the overall guidance. I mean, let's talk first about unit and CapEx. I mean, we'd expect the split to be relatively similar in the March quarter. We'd expect a little more strength probably in CCS than in the other 2 businesses in terms of the potential growth rate.
Krish Sankar: All right. And in the December quarter, within your Specialty, how did the different segments within that trend in terms of like the SEMIs, the industrials and the graphite segment?
Gideon Argov: Within the ESM segment, the greatest weakness in that segment, I mean it was actually in the industrial part of the business. We had a number of significant -- that business is relatively lumpy and so we had a number of larger orders at the end of Q3 that didn't repeat in Q4. The semiconductor business in that segment was also weak really but consistent with what we saw in the overall SEMI business.
Krish Sankar: And from -- in terms of the units business, do you have something to where the end market driver is? Is it mostly coming from the foundries of this point or are you also seeing some tick up in the memory side?
Bertrand Loy: I think we see that across the board, Krish. I think as Gideon indicated, it's really more a function of whether you're dealing with the leading-edge fab as opposed to a trailing-edge fab. And as you know, contamination control is increasingly viewed as one of the best way to optimize your years. And as those fabs are actually adopting those new technology process nodes time to yield and tool out time is really what matters. And we are providing some very unique solutions to help them do that. So that explains really the strength that you're seeing in a lot of our infiltration and purification product.
Krish Sankar: All right. And then just a final housekeeping, in Q4, what is the split between CapEx and consumer? I think I missed it, sorry.
Gregory Graves: The split was 64-36, which was the same as what we saw in the prior quarter.
Operator: And we will take our next question from Jason Ursaner from CJS Securities.
Jason Ursaner: Greg, can you repeat the tax rate that's embedded in Q1 guidance?
Gregory Graves: It's 30% to 32%.
Jason Ursaner: Okay. And then the inventory reduction in Q4 that hit gross margin, was it across the board or was this also driven by the divergence in the leading-edge versus legacy lines?
Gideon Argov: It was really broad. I mean, it's broad-based.
Jason Ursaner: Okay. And then the Microenvironments division, revenue and margin were both a little better than I'd expected. Gideon, you mentioned stronger CapEx in the 300 mm FOSB. Is this strength being exhibited globally or is it really the advanced fabs in the U.S. right now that are being built?
Gideon Argov: It is globally. It's really a function. Again, it's the same story of trailing and leading. We have, as you know, I think a whole suite of very new advanced FOSB that have all kinds of barrier materials and essentially our design to operate in a 3X, 2X environment. And it's the orders and increasing of the shipments for those products which were, as I said, 70% of all the FOSB that we actually shipped in the quarter that really represent some of the strength you're seeing in the ME business. We've also continued to do well on the shipper side in 300 mm, where we -- where as you know, we're picking up shares as we go along. But the weaker side of that business was Legacy 200 mm and below, not unexpected and that is part of the trailing-edge story that we've been talking about.
Jason Ursaner: I'm guess I'm also asking, how do you think your market share looks globally right now? Just because I was, I guess I was under the impression that...
Gideon Argov: Share is by product. Our market share is not something that -- one number doesn't really give you the answer. We are very comfortable that we are the leaders in the FOUP area. I can't tell you what the exact market share is but it's very significant. And we're gaining market share in the shipper area in 300 mm and in below 300 mm. We have good market share and have had it for many years.
Jason Ursaner: Okay. With the trend of retaining engineering talent over labor costs to bring some of the most advanced FOSB back to the domestic market, do you have benefit to you over some international competitors or would that not really have much of an effect?
Gideon Argov: Well really, it's a global market. You have to remember, Jason, it's a global market there. So we serve a global market the way we operate the company. We have centers of excellence by technology around the world. And it's our judgment that in the area of advanced filtration, for example, we have access to both customers and key consortia but also access to the key technology personnel and academic institutions that allow us to actually create, as Bertrand said, a clustering effect that is very, very positive here in New England. In the area of advanced microenvironments, which we're very comfortable that on the engineering side, Colorado is an excellent place to be. But don't confuse that with manufacturing because we make products all over the world and over half of our manufacturing is outside the United States.
Jason Ursaner: Okay. And then lastly, what do you think the inventory picture is now at the SEMI device companies? The advanced nodes have been running at pretty high rates. Are you at all concerned that some of the positive sentiments from a December inflection could be just inventory that's coming ahead of the Chinese Lunar New Year?
Gideon Argov: Those are good questions, none of which I can answer because I have no clue. I mean honestly, we don't have any ability to monitor the inventory at the device companies. I was in Asia recently and there's a lot of excitement about the new nodes, technology nodes and the trailing edge is operating at lower capacity. What happens as 2012 unfolds is a good question.
Operator: Our next question comes from Avinash Kant from D. A. Davidson.
Avinash Kant: Just 1 or 2 questions, actually. The first 1 was you talked about the new nodes and I was wondering in terms of new nodes, could you talk a little bit about the mix overall? What is it up to total revenues, some idea?
Gregory Graves: It's still relatively a small portion. I mean, you have to look at the wafer production at 32% and below. It's around the world globally. I would say it’s under 10%. And so you have to -- that is an interesting point you bring up and it bodes well as that percentage goes up for sure, Avinash.
Avinash Kant: Right. And Gideon, could you talk a little bit about the 450 mm investments? What percentage of your CapEx in 2012 is going to be on 450 and how do you see that trending going forward?
Gideon Argov: Of the number that I laid out, Avinash, the approximately $70 million of 450 would be somewhere 15% to 20% of that.
Avinash Kant: 15% to 20%? Okay. And one final question, you have been talking lately of course about non-semiconductor opportunities and you have talked about LEDs and most recently, even life sciences. Could you give us some idea in terms of where do you see those opportunities and how -- what's the magnitude right now and how could that grow over the next few years?
Bertrand Loy: Avinash, this is Bertrand. As we mentioned into our prepared remarks, we've seen actually some real momentum in the non-SEMI markets. In particular, we were able to double our solar-related revenues in a very difficult market. As you know, the solar industry experienced a very severe contraction on the equipment site in the second half of the year. So I think that this is very positive for us and it is a reflection of some of the industry dynamics that we've been reporting to you over the last past year. As you know, cost of watts remains the primary industry driver and you can only achieve that if you increase your cell efficiency while you lower your manufacturing costs. Well, over the last year, a lot of the leading edge cell manufacturers are starting to realize that in order to achieve that, they need to increase the level of automation for the manufacturing processes and they also need to introduce some more complex manufacturing steps. All of that bodes really, really well for what we do because what it means is that most likely, this industry is going to move to a type of process solution that will include greater wafer handling solutions as well as become actually more sensitive to contamination, which means that it will require some more complex contaminations control solutions, which is exactly what we do. So again, we were able to double our revenues in solar this year in the difficult industry and I would expect to see those revenues to hopefully double in the next couple of years.
Avinash Kant: So Bertrand, maybe -- you may or may not want to break it but I'm trying to get some understanding of what's the level of business at this point if you include the solar and the LED and the life sciences, maybe, just as maybe?
Gregory Graves: Hey, so Avinash, 30% of our revenue is non-SEMIs, start with that. And that divides into roughly 2 worlds. By far, the majority of that business, of I would say related to TFT/LCD flat panel and I'd say different consumer electronic types of products, data storage as well. I mean, so of that 30%, probably 3 quarters is as I've just described it. The other quarter is what we call our new initiatives, our emerging industrial markets. And that includes solar. That includes LED -- sorry that includes solar then includes some energy storage and includes healthcare. And those are growing much more quickly but they're still smaller. The reason we reported and we did that our revenues in SEMI were down 3% and our revenues in non-SEMI were down 10% is related to more than anything else, 2 specific factors. One, the second half of the year was a disaster for the world of flat panel, as you know, and it was a disaster for the world of rotating memory. Those are the worlds that dominate that 30% for us. That will change over time as these emerging markets take hold.
Operator: Our next question comes from Jairam Nathan of Sidoti.
Jairam Nathan: We generally noticed that building of newer facilities is generally followed by higher OpEx. So my question is on the membrane and on the 450, is it an increase in capacity or is it an increase in capability?
Gregory Graves: It's largely an increase in capability. It's 450 and we were moving to the next process node. That happens to be a new facility although it's a relatively small facility in terms of square footage. In terms of the advanced membrane, it's purely investing in a capability and it will result in consolidating a number of existing facilities.
Jairam Nathan: Okay. And so beyond 2012, do you think -- looking at it, I can see increasing OpEx but not necessarily higher revenues. Is that fair?
Gregory Graves: With our -- through the OpEx and we were obviously going to spend a small -- it's not material in the scheme of our overall numbers, dollars on these projects, implementing the projects. So I would not expect these projects to have a meaningful impact on OpEx over time. And with regard to the gross margin, same thing. They're relatively neutral to our overall margin over time.
Jairam Nathan: So you wouldn't be adding a lot of people on the DNA war that's been an issue?
Gregory Graves: Neither one of these initiatives involve a significant number of people.
Jairam Nathan: Okay. Okay, sounds good. And the next, on the 450mm, and if you talk to other suppliers, a couple of suppliers, the feeling I got was 450mm might be a '15, '16, '17 kind of timeframe technology. If that and -- what are you seeing different? Or -- and my question is, are you being too much ahead of the curve here?
Bertrand Loy: That's an excellent question. And I think, obviously, you risk it out as to when will the exact -- I mean, for the exact timing of the adoption of 450 in the industry. This being said, the timing for investment is different depending on where you are in the ecosystem. And being the leader in wafer handling solutions. We need to be ahead of most equipment makers and most device makers simply because without transport solutions for the 450 mm wafers, nobody in the ecosystem would be able to start working on their 450 mm solution. So that's why we need to be one of the first to invest in 450mm. Needless to say that we are not making this investment in a vacuum. We are working very closely with the people driving 450mm conversion and migration. And we want to be extremely responsive to their requests and their timelines. So that's why we are making the investment we're making at this time.
Operator: Our next question comes from Dick Ryan of Dougherty.
Richard A. Ryan: Say, Greg, in your comment about the target model being several years, 2 or 3 years old and that gross margins might not be at the level that would previously be indicated at the revenue level indicated, OpEx or at the up margin at the lower end. Is this a quarter or a 2 quarter scenario or does this require reassessing the model and rolling out a new target model assumption going forward?
Gregory Graves: Yes. So well, I would say, first of all with regard to the target model, I did comment that when we put that in place in 2009 when we did the equity number in 2009. But it's been a relatively static model for a period of time. And the model for us, I mean, it's an excellent tool. I mean, for us it's become the way we manage the business. Every division has the target model. And so we view it as a tool to drive the business forward. Today, I'm not suggesting that we are or we're not going to ever change the target model but I'm saying in the current quarter, the current will be at the lower end of the existing target model.
Richard A. Ryan: Okay. And when you look at R&D for the -- with the CapEx spend and as we get through 2012 with some of these new initiatives, how should we look at R&D spend going forward?
Gregory Graves: The R&D spend in the first 2 quarters of the year probably will be in the neighborhood of $12 million.
Gideon Argov: Dick, just to point in general, as you raised questions about -- good questions about the margin and the R&D spend, which is obviously mostly OpEx, I want to make sure that it's very clear. We've gotten where we've gotten because we've been very disciplined about executing, including on the cost side. That discipline is not about to change. So I don't want you to conclude by any means that there is a change in our proclivity to spend money. There is no change in the discipline we're going to exert. The real question is, as in all businesses, how do you balance the need to show profitability and cash flow with the requirements of our customers and the need to invest for the long-term? This is the world where we live and we obviously recognize that. We're going to make those trade-offs. We may make them differently next year. And this year, we may change that but we under no circumstances will be spending money like it's going out of style. It's just not the way we do things around here.
Operator: And we'll take our next question from Christian Schwab from Craig-Hallum Capital Group.
Christian D. Schwab: Did you guys address -- are you guys seeing any increase in the filtration business given the migration to the 2X node?
Bertrand Loy: Yes, we did actually. But I'm happy to rephrase the answer. What we've been saying is that our leading edge filtration business benefited from 2 factors. First, we saw actually some increase in that capacity in utilization of the leading edge and as you know, more wafers being processed for the fab would benefit our filtration business. So that was factor number 1. But more importantly is the factor number 2. And the factor number 2 is that at the most complex nodes, contamination control becomes increasingly important in order to optimize your yields. And so that's really the answer we provided few minutes ago. Okay. So TSM talked about in 2010, having less than 2% of their capacity at those nodes and expects to exit the year at greater than 10%. So we are finally seeing that migration in line with typical cycles, right? We expand a very rapid pace, we pause and then we spend more money in advanced technology nodes. So if those types of unit assumptions on their part, which I believe they probably are smarter than I am, that is obviously not only a positive for filtration and contamination control but also a positive on the FOSB business as those could be more expensive as well? Am I thinking about that right?
Gregory Graves: I think you are thinking about it right. I mean, first we've been talking about the filtration business. Look at, just say our Liquid Filtration business is actually up in the most recent quarter. Even as our business is contracted over the last couple of quarters, our most advanced filters have continued to show sequential quarterly growth for the last several quarters. So now the thesis around the filtration that you lay out, we can see that in our business. And then with regard to FOSB, there's no question and we've talked about the advanced FOSB for the last couple of years and those products continue to have very good traction. Most of the major device manufacturers in the world are looking at our more advanced FOSB. Many of them have ordered our more advanced FOSB.
Christian D. Schwab: Right. Right. So not to put words in your mouth, but as we begin an advanced technology node spending cycle, you guys are very well-positioned for increased dollar content. And then the joyous comments on yields, obviously every time we migrate to these types of nodes, yields are a tremendous problem. And so we change our filtration products much more rapidly as it means to increase yields in the short-term until we figure out how to do it efficiently. Right?
Bertrand Loy: Right. And so I think that that's something that we've seen happening at every, not tradition. But I think there is another factor, which is a new factor this time around, is that if you look at the cost per gate, the cost per gate was actually declining every time we were shrinking the dimension all the way up to 28 nanometer. That actually is not the case anymore as we move to 22 and below. If anything, the cost per gate is increasing. So if you want to reduce your cost per gate, which is obviously a very important goal and objective for every fab and primarily the foundry makers, you're left with trying to reduce the cost of the wafer and that's actually not going the right direction either and that's to increase the wafer dimension. So that's why the industry is going to transition to 450mm pretty soon. So you're really left with 1 tool in your toolbox and that is yield optimization. And you're back to the argument we've been making, which is if you want to increase your yields, you'll be -- you need to be absolutely paranoid about contamination control and you need to be absolutely paranoid about the way you handle your wafers through the various process fabs in your fab. So I really do believe that we are in the very sweet spot right now. And not just because the industry is transitioning to new nodes but because I think that contamination control is going to become one of the big driver for the industry to optimize the yields and I think it's here to stay at 22 and below.
Christian D. Schwab: Right. TSM also mentioned the tremendous cost as we migrate. And now we're migrating to 28, which is one thing which costs -- let's say for every dollar we spend at 28, we're going to have to spend $1.45 at 22 or 20. Is that type of percent -- they're talking more I think on the wafer front end equipment obviously why [indiscernible] are excited about their combination. But is that something that you would experience at least directionally?
Bertrand Loy: Yes. Your framing, what I was describing in a different way, but yes.
Christian D. Schwab: All right, perfect. And my last question is you guys have highlighted, at your last analyst day, a path to $1 billion with macro industry growth and market share gains and some adjacent market expansion. Is that $1 billion potential revenue, is that something that you think is feasible in a stable macroeconomic environment at '13 or is that more of a '14 fiscal year event?
Gideon Argov: I would say that, that is probably a '13/ '14 event. And I don't mean to hedge that but I think that we clearly saw a much softer back end of 2011. There is clear divergence of opinion in the industry about the strength and nature and trajectory of any recovery in 2012. There are a lot of macro factors that I need to go into for you because you know them as well as I do. And I'd say, given all of that and given the fact that half of the delta between 2010 which was when this original discussion would've occurred in 2013, half of that delta, maybe 40% of that delta, was going to be through market growth. I would say it's more likely to be a 2014 event. With that being said, what we're all about, I think, Christian, as you know is we will outgrow the industry. And that is exactly what we have been doing for 3 years. That is exactly what we will continue to do because of all the things we've been talking about today.
Operator: [Operator Instructions] And we'll take our next question Steve Schwartz from First Analysis.
Steven Schwartz: Gideon, you mentioned rotating memory was weak in the fourth quarter. It's Thailand, I'm just wondering if you expect weakness in the first quarter and when do you expect that to come back?
Gideon Argov: Well, we hear and we -- that there is a resurgence or I would say, an increase in manufacturing of this rise based on the recovery that's taking place in that region. I would also point out that is a very small business for us and really has not much of material impact on the overall revenues of our company. We have no manufacturing. I repeat, 0 operations in Thailand.
Steven Schwartz: Okay. It's good to know. Okay, Greg, as far as CapEx is concerned, what's your maintenance CapEx? What has it been over the past couple of years? Is it like $15 million or $20 million?
Gregory Graves: No, I'd say it's a little more than that. I mean, Christian, in the kind of the '09 timeframe and early 2010, we were spending very little. We were working through our -- to improve our balance sheet. I would put it in kind of that $25 million range.
Steven Schwartz: Okay. So you've got the $25 million plus the 2/3 of the $70 million that you said was for Colorado and New England and that pretty much tallies it up?
Gregory Graves: That's exactly right.
Gideon Argov: And that $25 million. I mean, how do you describe maintenance? I mean, within that $25 million, there are some -- I mean, of this year, there were capacity additions for a key product line [indiscernible] Thailand. Next year, there is a capacity addition for our drum line. So that is that $25 million. So it's not all just strictly maintenance but I mean, on a year-to-year basis, I think you think about CapEx as $25 million to $30 million.
Steven Schwartz: Could you guys give startup dates for New England and Colorado?
Gregory Graves: No, we've not.
Steven Schwartz: Are you're willing to?
Gregory Graves: Not at this point.
Operator: It appears there are no further questions at this time. I would like to turn the call back.
Gideon Argov: Thank you for joining our call. And we look forward to updating you as we move through the year. Thanks again.
Operator: That concludes today's conference. Thank you for your participation.